Operator: Welcome to the Evolent Earnings Conference Call for the Third Quarter ended September 30, 2025. As a reminder, this conference call is being recorded. Your host for the call today from Evolent are Seth Blackley, Chief Executive Officer; and John Johnson, Chief Financial Officer. This call will be archived and available later this evening and for the next week via the webcast on the company's website in the section titled Investor Relations. This conference call will contain forward-looking statements under the U.S. federal laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. A description of some of the risks and uncertainties can be found in the company's reports that are filed with the Securities and Exchange Commission, including cautionary statements included in our current and periodic filings. For additional information on the company's results and outlook, please refer to our third quarter press release issued earlier today. Finally, as a reminder, reconciliations of non-GAAP measures discussed during today's call to the most direct comparable GAAP measures are available in the summary presentation available in the Investor Relations section of our website or in the company's press release issued today and posted on the Investor Relations website, ir.evolent.com and the Form 8-K filed by the company with the SEC earlier today. In addition to reconciliations, we provide details on the numbers and operating metrics for the quarter in both our press release and supplemental investor presentation. And now, I will turn the call over to Evolent's CEO, Seth Blackley. Please go ahead.
Seth Blackley: Good evening, and thanks for joining the call. On the call this evening, I'll take you through our results across the 3 areas of shareholder value creation. John will then provide details on the numbers, and I'll close with some additional thoughts before we take your questions. We're pleased to report financial results for Q3 that exceeded expectations on both the top and bottom line. These results, we believe, demonstrate that Evolent's products are resonating in what continues to be a very dynamic time in the industry. Let's start with updates on our 3 areas of shareholder value creation of one, organic growth; two, margins; and three, capital allocation. Starting with organic growth. Q3 revenue of $479.5 million was at the top of our guidance range. And we expect our revenue for the full year to be between $1.87 billion and $1.88 billion. We're announcing 2 new revenue arrangements today, one in the Performance suite and onein the technology and services suite. First, we have signed a contract with one of the largest Blue Cross plans in the country to launch our Performance suite for oncology across more than 650,000 MA and commercially fully insured members. At typical capitation rates, we expect this to contribute north of $500 million in revenue annually. This new partnership leverages our enhanced performance suite framework and includes retroactive adjustments for prevalence, case mix and the like as well as bidirectional risk corridors that significantly limit our downside while increasing value sharing to our partner, ensuring that our economics are closely tied to the value we're creating and mitigating Evolent's exposure to volatility that's outside of our control. We're honored to add this plan as a major new first-time partner for Evolent and look forward to doing excellent job supporting their members and accessing the very best oncology care while also balancing affordability for members in the plan. While the final implementation schedules may shift slightly in either direction, we are currently expecting a May 1, 2026 go live and therefore, expect the contract to contribute approximately $300 million in 2026 revenue. Finally, it's important to note the revenue estimates I just discussed are just for the fully insured commercial and Medicare Advantage lives. The commercial ASO and Medicaid membership at this plan would represent additional growth opportunities over time. And our second revenue arrangement we've announced is a large provider-sponsored health plan in the Southwest and they have signed a contract to deploy our oncology condition management, technology and services solution across their membership adding to their existing musculoskeletal solution. With these additional announcements, we have signed contracts for 2026 go-lives that will add more than $550 million in new 2026 revenue and annualized contract value of over $750 million. These new signings take total revenue under contract for 2026 to approximately $2.5 billion. Well of course, finalize our revenue outlook for 2026 in February once we have final membership and go-live dates. But this forecast of $2.5 billion in revenue takes into account our current expectations for revenue decreases in conjunction with membership reductions in the exchanges, Medicare Advantage and Medicaid. Additionally, we believe the expected contract launch timing in 2026 will position the company for strong bottom line growth in 2027 and even after today's announcement of more than $500 million in annual contract value, our probability weighted pipeline exceeds $650 million annually and continues to grow. On margin expansion, our Q3 adjusted EBITDA of $39 million was in the upper half of our expected range and represents 23% growth year-over-year. John will talk more about the drivers of our adjusted EBITDA performance and our outlook for this year. With today's announcement, we anticipate over 90% of our Performance Suite revenue in 2026 will be covered by our enhanced protections which update our pricing for disease prevalence, mix and other factors and include risk corridors that limit our downside, enhancing our ability to drive sustainable margin growth in the future. We continue to work towards our long-term goal to auto approve over 80% of our baseline authorization volume, delivering on faster authorizations at a lower cost. During the quarter, we began rolling out our artificial intelligence review or Copilot within auth intelligence into our musculoskeletal workflows, and we're beginning to realize the AI efficiency improvements we expected. On the capital allocation front, the sale of our primary care business, Evolent Care Partners is on track to close later this year. We plan to use the proceeds from that sale to pay down approximately $100 million of our senior term loan, lowering our cash interest burden by about $10 million annually. With the retirement of our 2025 convertible notes, we have no significant liabilities until the end of 2029 and we reiterate our commitment to use free cash generation from the business to delever. We believe our growth and the continued strength of our pipeline is driven by the unique value we deliver to all of our core stakeholders, health plans, providers and members. I want to provide an update now on our product development efforts as we continue to innovate. Our health plan partners turned to Evolent to address excessive specialty care costs, particularly in oncology, where we believe we provide a critical service in this environment, which is delivering savings while seeking to improve the patient and physician experience. As evidenced by our accelerating pipeline and new contract signings, we believe the current environment presents an opportunity to increase the penetration of our specialty care model at a time when demand for our offerings has never been higher. For example, in oncology, we believe we touch approximately 9% of all oncology cases in the United States today, about 8% in our technology and services model and only 1% in our Performance Suite model. As evidenced by today's announcements, we are seeing the differentiation relative to our competitors. We expect our enhanced Performance Suite model to grow over the coming years. We believe this market opportunity will provide our customers with significant value and importantly, provide Evolent with a strong and sustainable source of growth in the coming years. We also believe the enhanced protections in our modified contracts will provide a path to driving strong and disciplined adjusted EBITDA growth in the years to come. To give you a sense for the longer-term opportunity with the oncology Performance Suite, increasing our oncology risk penetration to 15% of the market represents an addressable growth opportunity of greater than $15 billion annually over time. On the provider front, we're excited to announce a strategic partnership with American Oncology Network, which strengthens our provider alignment model under our Oncology Care Partners brand. The model seeks to enable high-quality, more affordable and connecting cancer care, all without relying on utilization management, instead relying on EMR integration to drive decision-making at the point of care. The model should significantly lower the burden on oncologists, enabling them to focus on what matters most of caring for their patients on their cancer journey. Part of the partnership, physicians and patients will have access to Evolent's comprehensive cancer navigation program. The American Oncology Network is one of the nation's fastest-growing network of community oncologists and shares our dedication to innovation in cancer care. Finally, we're excited by the continued progress of our comprehensive cancer care navigation program. By combining Evolent's expertise in oncology services and care management with the Careology mobile application. This program has delivered exciting results this year that now extend into reducing inpatient costs, whereas our traditional Evolent oncology model focuses on outpatient costs and drug costs. For example, our navigation model is now live in multiple markets and has shown decreases of up to 40% in inpatient and emergency department utilization and match case studies. The program also has patient satisfaction scores exceeding 90%. Before I hand it over to John, let me make some quick comments on the policy environment and our outlook for 2026 and beyond. Across the last 24 months, we have seen 2 dynamics of work. One, we have been taking share, particularly in oncology, further penetrating the top health plans, winning important new logos while continuing to renew existing customers and updating our performance suite contracts demonstrating the long-term durability of our model. And two, membership in our core government-sponsored market has been going through a significant shift, shrinking in number and growing in acuity. We expect both of these trends will continue in 2026. Recall that our previous expectation for 7% to 9% membership growth in MA for 2026 was offsetting an expected contraction of approximately 20% in the exchange market for 2026. CMS' most recent forecast from the end of September now expects overall MA membership to contract by about 3%. In the exchanges, there remains a wide range of potential outcomes depending on how and when the federal government has reopened, with health plans over the last couple of weeks forecasting exchange membership declines of as little as 15% and to as much as 65%. While we expect to grow our customer footprint and revenue meaningfully next year and while we're on track to achieve our expected efficiency targets for 2025, our 2026 adjusted EBITDA outlook is more uncertain than usual for this point in the year, given the wide range of outcomes on our customers' membership in Medicaid, exchange and Medicare, based in particular, on the changes from the One Big Beautiful Bill. For example, if exchange membership declines are towards the higher end of that forecasted range and our customers' Medicare Advantage membership shrinks, it's unlikely we'll be able to deliver meaningful adjusted EBITDA growth in 2026, above our pro forma 25 baseline. If robust subsidies are reinstated as part of reopening the government, this headwind may be reduced. Likewise, the details of membership declines will matter. For example, while the MA market in aggregate may shrink by 3%, it's possible that our MA customers may gain market share. Regardless of membership dynamics, it's important to note that based on new contracts signed to date, we will exit 2026 with more than $750 million in newly launched annualized Performance Suite revenue. Consistent with our past commentary, we are expecting minimal adjusted EBITDA contribution from these new launches in 2026, but would expect them to generate adjusted EBITDA contribution of $75 million or more at target mature margins. These new contracts as well as others we expect to sign in the future quarters should provide a significant earnings tailwind in the years to come. We intend to use this moment of health plan P&L pressure to cement Evolent's position as a leading specialty solution. The pain felt by our customers, both on membership and utilization is creating a very significant growth opportunity for Evolent. We now have signed 13 new contracts in 2025, and we have contracts in place that should drive more than 30% top line growth in 2026, and we also anticipate continued strong growth into 2027 and 2028. It is our belief that capitalizing on this period of industry disruption with disciplined growth will create significant long-term value for all of our stakeholders. With that, let me turn it over to John to go through the numbers.
John Johnson: Thanks, Seth. Q3 revenue of $480 million represented 8% sequential growth versus the second quarter, driven by new launches across both the Performance Suite and the technology and services suite. Sequential growth in our per member per month fees in both the Performance Suite and tech and services was driven principally by product mix with the Q3 launches at a higher-than-average fee as we continue to demonstrate pricing resilience in a dynamic end market. With these launches, we are currently tracking towards the upper end of our full year revenue guidance, and we have narrowed that range accordingly. Adjusted EBITDA of $39 million was modestly ahead of our expectations and represented growth from our technology and services business and the early success of our AI operational efficiency projects, offset by initial reserve building for our new Performance Suite launches. Our Specialty Performance Suite Care margin, which is the difference between our capitated revenue and claims expense was approximately 7%, consistent with our performance year-to-date. Normalized oncology trend continues to be just under 11% year-over-year. Note that during September and into October, we saw an increase in medical utilization in our exchange book, primarily in cardiology, consistent with industry-wide expectations of a benefit rush ahead of significant premium increases in 2026. Given this expectation, we have opted to maintain our conservative reserving posture consistent with our behavior during the first half of the year, and we have narrowed our adjusted EBITDA outlook accordingly. Note that we are not seeing this trend variability in Medicaid or Medicare, where cost trends remain stable versus our first half results. Turning to the balance sheet. We ended the quarter with $116.7 million of cash and equivalents and $47.5 million of revolver availability. Cash change versus our Q2 ending balance was driven by $15 million in cash flow from operations, offset by software development costs of $9 million and $40 million in net cash used in the August transaction, refinancing our 2025 convertible notes and buying back common stock. Cash from operations of $15 million was lower than expected, driven by timing of cash receipts, particularly from the Medicare shared savings program, which was paid in October instead of September. Our net debt of $910 million reflects the exchange of our $175 million in Series A preferred stock into second lien debt. Recall that this exchange included no changes in economic terms to Evolent, other than the interest now being tax deductible. Between cash generation and the divestiture of Evolent Care Partners, we expect to end the year with net debt of approximately $805 million to $840 million, which would represent a net leverage ratio of approximately 5.5x at the midpoint of our 2025 adjusted EBITDA guidance. With the retirement of our 2025 convertible notes, we have no maturities until the end of 2029, but delevering remains our primary capital allocation priority. As we near the end of the year, we are narrowing our guidance ranges for 2025 revenue and adjusted EBITDA to be between $1.87 billion and $1.88 billion and $144 million to $154 million, respectively. These ranges presume a 12/31 close for our ECP divestiture and would be slightly lower if the transaction closes earlier. The corresponding quarterly ranges are $462 million to $472 million in revenue and $30 million to $40 million in adjusted EBITDA. We are not assuming any new launches in our revenue outlook. The primary variable is changes in our customers enrolled membership. And as I mentioned earlier, this adjusted EBITDA range presumes a further decline in exchange margins from what we experienced in Q3. While this outlook is conservative, we believe that is the appropriate posture given the industry-wide commentary on this segment. With that, I'll turn the call back over to Seth.
Seth Blackley: Thank you, John. I want to close by commenting on our CFO transition announced this afternoon. First, I want to thank John for his incredible contributions to Evolent as our CFO over the last 6 years. I look forward to continue working with him as he takes on the Chief Strategy Officer role for the company. The role will include supporting our rapid oncology growth in the time ahead and our work to drive our target oncology trend down in addition to the more traditional strategy functions. I also want to welcome Mario Ramos to Evolent. Mario was previously CFO of CVS Caremark, a division of CVS Health, in addition to holding other CFO roles at CVS. Most recently, Mario was CFO of WellBe Senior Medical, a risk-bearing value-based care provider. Based on his track record and reputation in the industry, I'm highly confident Mario will be an incredible addition to the team. Mario will join Evolent on November 17 and assume the CFO role on January 1. In addition, as our growth accelerates and AI becomes a more important factor in the operations of our business, we're making a number of other important organizational investments and adjustments that we noted in our press release. In closing, I remain incredibly confident in Evolent's future. We believe we have developed the leading specialty platform in the industry. I believe the exceptional renewal rates of our current customers, along with the validation of new customer contract signings under our enhanced Performance Suite model demonstrate the value and durability of our solution. While the industry is undergoing significant changes, Evolent is taking market share with a new disciplined contract structure, and I believe we are becoming a more critical part of a system that desperately needs higher value, higher satisfaction and lower cost solutions, particularly in high-cost areas like oncology. We have the right team in place to take advantage of the opportunity ahead and drive value for our customers, employees and our shareholders. With that, we will take your questions.
Operator: [Operator Instructions] And the first question will be from Kevin Caliendo from UBS.
Kevin Caliendo: I want to talk a little bit about the new contract wins. Obviously a huge number. I appreciate you giving us that it's not going to really contribute much next year. And I believe you said potentially $75 million when they hit peak margins. How should -- can you maybe break this down a little bit? Is 10% sort of the new -- the way we should be thinking about new business in terms of peak margins going forward? Is there something about the mix of these contracts that affects that? Just trying to understand sort of -- because the new contracts and the restructuring of your contracts going forward is a big question mark. And this is obviously a huge amount of new business that's won. And I'm just trying to think as we think longer term, is this how we should be thinking about new business? Or is there something unique about the mix of these contracts that get you to sort of 10%-ish peak margin?
Seth Blackley: Yes. Great question, Kevin. So this is Seth. Let me make a couple of points. Number one, yes, this -- all of these contracts that are in that $750 million that we talked about are under the enhanced Performance Suite. That's the only way we're setting up new contracts going forward that has prevalence and case mix adjustments, but also has a narrower corridor model attached to it. So that's the contract structure. I think the second thing that I want to highlight, and I'll get to your question is between Aetna and this contract, and what we're seeing in the pipeline, I think we feel really good about our ability to use this contract structure as the standard going forward. It's also the standard that we have implemented backwards into all of our existing contracts or almost all of them at this point. So that's how you should think about it going forward. I think 10% is a reasonable mature margin to think about, yes. That is lower than historically we used to talk about, and that's intentional. The bell curve is narrower. So we have taken downside from our exposure, and we've also given a little bit back to our partners. And so I think you should think of the business, I think it's a reasonable mature margin target to your point. I think you should also think about lower volatility, more predictability. And that's the model that we believe in going forward. Does it leave some net present value, if you will, on the table? Perhaps it does, but I think more predictability, discipline with these contracts is the right trade-off to be making.
Operator: And the next question will be from Daniel Grosslight from Citi.
Daniel Grosslight: Congrats on a strong quarter. I'd like to focus on the puts and takes around 2026 EBITDA. Seth, it sounds like the big variable here is just what happens on the exchanges, but I was hoping maybe you could help quantify that impact of it maybe on the high end and low end? And then maybe on top of that, if you can layer on any additional investments you're making in 2026 other than what you've announced this year? And if you're still expecting to see that, I think it was a $20 million improvement in EBITDA from AI. I just want to make sure that you're still expecting to realize that next year.
Seth Blackley: Sure. So I'll start, and then I think I'll pass it to John to add a little bit of color. So the big factors that set up '26 are number one, growth. We feel very good there. Number two is you asked about it, but our cost structure and the efficiencies baked into that. We feel good about that, and we're achieving the results that we want. And the third big one will be trend, right? And particularly in oncology, and we commented on that today, too. We feel good about where we are. It feels like our forecasts have been right and we feel like we're still set up in a good way. And the fourth one is membership. To your point, yes, that is the big one that's open. I think it's too early to tell with the width of the ranges that we're talking about. And it's also a little bit hard to give you an algorithm for, okay, plug in, this percent membership decrease, I give you that EBITDA change. I think that a lot of it depends on our cost structure. So the more membership comes down, the more we have to look at our cost structure, there's variable costs and there's fixed overhead. And we're going to have to look at fixed overhead, if membership comes down by a certain percentage, right? So it's hard to give you an algorithm is the short answer. I think the way we framed it in the script is probably the best we can do with the width of the ranges that are out there, which is -- could be tough to get meaningful growth or we have good path to EBITDA growth, depending on what happens with membership.
Operator: The next question will be from John Stansel from JPMorgan.
John Stansel: I wanted to dig in a little bit more on the MA growth assumptions for enrollment next year. I appreciate the commentary about CMS forecast and the idea that enrollment could decline by low single digits. But I think some of your large customers have taken different strategies, in particular, one of your largest customers is potentially positioned themselves for share gains. So I guess, can you talk about your different outcomes you think within MA enrollment and what that means for '26 and how you're thinking about your large payer customers performing into next year?
John Johnson: Yes. It's a good observation, John. And I think that, well, we don't have a crystal ball on this, of course. We do think that if one or more of our current partners ends up as meaningful share gainers for MA membership next year, that would be a nice tailwind for us, in particular, in the technology and services suite.
Operator: And the next question will be from Charles Rhyee from TD Cowen.
Lucas Romanski: This is Lucas on for Charles. In terms of thinking about the HIC subsidies and whether they expire, can you help us understand, obviously, you're talking about a membership impact right now, but can you help us understand maybe the acuity shift that could come along with that and maybe compare it to the Medicaid redetermination acuity shift that you saw over the past 18 months and help us out with that piece.
John Johnson: Yes, for sure. So just to put some numbers around it, right, revenue from the exchanges this year is around $360 million, about half in the Performance Suite, half in tech and service. So that's the top line in terms of the total capitation that we're talking about here. The second thing that I'd say there, Lucas, is recall that our contracts have these protections and automatic adjusters for changes in the population, prevalence, disease mix, et cetera, that go a long way towards protecting us against wild acuity shifts. And the last thing that I'd note is because this is such a -- such a topic, right, and a known item going into next year. We have very active discussions with our payer partners in the exchanges for next year around ensuring rate adequacy based on the population that they end up with next year. So we have a high degree of confidence in our pricing for '26 as it relates to our expected acuity shift.
Operator: The next question is from Jailendra Singh with Truist Securities.
Eduardo Ron: This is Eduardo Ron on for Jailendra. Just on the oncology trends, which appear to be still better than the 11% that you guys guided for the year. And can you perhaps give some color on how that's played out from Q1 and now through Q3? Has that trend improved as the year progressed? Has it gotten worse in any way? Just if you could flesh that out, that would be great.
John Johnson: For sure, Eduardo, we're seeing it about flat across the year. With the -- want to tweak that over the last couple of months, we have seen a bit of that benefit rush in the exchanges. Most of that has been in cardiology, but we've seen a little bit of it in both. But in Medicaid and in Medicare Advantage, oncology trend across the year has been relatively stable.
Operator: The next question is from Jeff Garro from Stephens.
Jeffrey Garro: Maybe go back to the pipeline and great to hear the positive commentary there. I was hoping you could add to it in terms of the pacing of decisions and relatedly potential timing of go-lives, what's determining the pacing of remaining decisions? And as those prospects or existing clients make decisions, are we now looking at 2027 go-lives? Or are wins still possible that could translate to midyear 2026 go-lives?
Seth Blackley: Sure, Jeff. Helpful. So look, I think that what I would say on the pipeline is it's generally about the same as it's always been. It's not sped up or slowed down. I think the overall demand is really significant, as I mentioned, and I think that's going to continue. Could we still have some things that go-live in 2026 that are new? Yes, we could. For sure. And so -- and we've got a lot in the pipeline that could convert over the coming months even. So I think the' '26 outlook is still open partly based on opportunities for additional revenue as well. And again, I'd just say the biggest factor, I think we're feeling right now, Jeff, is just really significant demand because of the pain that folks feel in the market trying to manage and balance great care, whether it's oncology or anything else with affordability and we're getting a lot of phone calls to get support on that issue.
Operator: And our next question will be from Jessica Tassan from Piper Sandler.
Jessica Tassan: I guess just maybe first, can you elaborate a little bit on the adversity that you're seeing in the exchanges? I guess, just because I don't necessarily think about oncology as being subject to induced utilization, but what are you seeing there? Is it just acuity mix into the end of the year because of like marketplace integrity efforts? And then just secondarily, I appreciate you guys addressing the '26 EBITDA guide. But can you maybe just give us a sense of what are the items we should be thinking about in terms of bridging from 2025 to '26, maybe starting with ECP and then going through the AI efficiencies, et cetera.
John Johnson: Yes. So on the first one, Jess, the benefits, rush is really in cardiology, which as you point out, is a little bit more discretionary in terms of timing that is oncology. So that's really where we're seeing that uptick that we noted into the end of Q3 and into Q4 here. I'd just note on that one before I talk about '26, as I said in the script, we have assumed in our guide a provision for that trend accelerating. We haven't seen, but that seems like the right posture for us right now in the exchange line of business. So then talking about '26, let's just hit a couple of numbers. On the ECP divestiture, we expect that to be about $10 million of EBITDA associated with that divestiture. And so the -- think of the pro forma EBITDA this year as $10 million less than where we land as your launching point for next year, assuming we have it for the whole year. The second piece, you asked about the AI initiatives. I think $20 million is still our expectation for year-on-year improvement there. Of course, that's a unit cost number. So to the extent that there are significant shifts in membership, that number could move around a little bit. But we're quite pleased with the progress that we've made on the -- towards that $20 million number. The third thing that I would note is just on the Performance Suite margin maturation. Again, excited about what we've been able to drive this year. I feel confident about our pricing going into next year and ability to continue to drive value there. And the last question is really membership, as we noted earlier.
Operator: The next question is from David Larsen with BTIG.
David Larsen: With regards to the potential extension for the subsidies, I mean, what odds would you put that at what's happening? Since you're in Washington, I imagine you're pretty close to the hill. I mean, do you think there's a greater than 50% chance of subsidies being extended? Just any thoughts there would be helpful.
Seth Blackley: David. So, I think it's a pretty reasonable chance. I want to put a number on it that subsidies are extended, whether it's for a year or 2 years, that kind of thing. I think the bigger question at [indiscernible] is really given how late in the year it is and given the specific mix of plans, how much does that really change some of the numbers on a given population. So I think it's a very complex thing to put numbers on right now, both because you got the federal government question that you asked, and then you have the downstream question of, okay, it's pretty late in the year, how does that then affect open enrollment and had plans already filed? What they are pricing around and the like. And so I think the odds of the extension are good, David, that translating that even if I had a very specific number into, okay, I know this is going to do that to membership. That second piece is quite difficult. And I think that's part of the reason for the broader ranges that you're hearing from the different payers in the market.
Operator: And our next question will be from Matthew Shea with Needham.
Matthew Shea: I wanted to talk much on the product development. It seems like there's a lot of excitement there. Maybe with the oncology navigation solution, it sounds like continuing to roll this out, I guess, first, have you scaled this beyond that initial 300,000 members? Or is that still the right way to think about this at this point? And then last 2 quarters, you've alluded to the Navigation Solutions potential to allow you to create risk-based offerings for Part A oncology spend. Would love to get an update on where you are in terms of a formal development of an offering there and whether we should view the partnership with American Oncology Network as sort of a stepping stone on that journey.
Seth Blackley: Yes. So in terms of rollout, we were still in the two major markets. I think we are pretty close to adding a number of additional markets right now. And I think you'll have that happen live in 2026. If you think about the benefits of doing the work, to your point, most of it's on Part A. We mentioned some of the matched case studies around the significant reductions in ED and hospital utilization. So will we be beginning to take some management accountability on for Part A as we head into next year? Yes, we likely will. And that is a positive, obviously, for our partners because I think they are looking for answers everywhere they can find them and more integrated is better than not. So it is accelerating. I think is the right way to think about our navigation work. It's going to be included in more and more of our efforts. I think the American Oncology network partnership is related but a little bit different. So those oncologists across 20 states will have access to the navigation product that we just talked about, but there's a lot more to that partnership that goes beyond navigation. The bigger things, right, are completely gold carding and turning off utilization management and inserting the intellectual property of our oncology programs into the EMR at the point of care. And those fit really well with the navigation product. There are 2 parts to a coin, if you will, 2 sides to a coin, and they're both valuable and they're both part of the same dynamic, which is everything we're doing is trying to make care better for patients, which navigation does and point-of-care decision-making does and make them more affordable. And both of those things that we just talked about make care more affordable. So all of our product development efforts should have those two things in true north, better care for patients and easier to access for providers and more affordable.
Operator: And the next question is from Matthew Gillmor with KeyBanc.
Matthew Gillmor: I want to follow up on the American Oncology partnership. So just curious, sort of as you roll out, that doesn't sound like it's revenue-generating today, but how do you envision that sort of generating revenue for Evolent over time? Is that through the payers or through this relationship with the providers? And then has there been any early feedback on that gold card program from some of the big payers?
Seth Blackley: Yes, great question. So on your first point, it really, to your point, is not about revenue primarily. The work with that partner and other oncology groups like it over time, is really about improving the quality, the experience and reducing the cost. And so if we're in a risk-bearing situation, having that in place in those markets where we have the enhanced performance suite in place, we think we can drive better outcomes. And you can make patients happier and provide better care for them. So that's going to be the primary way to choose. Might it also be something that payers love to see and therefore, pull us into a new market and it becomes sort of revenue generating as a knock-on effect. I think the answer is probably yes to that. But to your point, that's not the primary approach to it. And what we're really focused on is the ability to drive the quality and cost in the right direction.
Operator: And ladies and gentlemen, this concludes today's question-and-answer session. I would like to turn the conference back to Seth Blackley for any closing remarks.
Seth Blackley: Great. As I close the call, I just want to thank John again as he moves on to his new role, but really also thank the 4,500 people at Evolent who wake up every day and run at our mission to support our patients, but also our shareholders. So thanks for the time tonight. We look forward to catching up offline.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.